Stuart Smith: Welcome, everyone, to KULR Technology Group Second Quarter 2025 Earnings Conference Call. Today is Thursday, August 14. And in just a moment, I will be joined by the CEO of the company, Michael Mo; as well as the CFO for the company, Shawn Canter. Before the call begins, please listen to the following forward-looking statement disclosure covering this call. This call may contain certain forward-looking statements based on the company's current expectations, forecasts and assumptions that involve risks and uncertainties. Forward-looking statements made on this call are based on the information available to KULR Technology Group as of the date hereof. The company's actual results may differ materially from those stated or implied in such forward-looking statements due to risks and uncertainties associated with their business, which include the risk factors disclosed in their Form 10-K filed with the Securities and Exchange Commission on March 31, 2025, as may be amended or supplemented by other reports KULR files with the Securities and Exchange Commission from time to time. Forward-looking statements include statements regarding their expectations, beliefs, intentions or strategies regarding the future and can be identified by forward-looking words such as anticipate, believe, could, estimate, expect, intend, may, should and would or similar words. All forecasts that are provided by management on this call are based on information available at this time, and management expects that internal projections and expectations may change over time. In addition, the forecasts are entirely based on management's best estimates of their future financial performance given their current contracts, current backlog of opportunities and conversations with new and existing customers about their products and services. KULR Technology Group assumes no obligation to update the information included on this call, whether as a result of new information, future events or otherwise. With that, I'd like to turn the call over now to Michael Mo, CEO of KULR Technology Group.
Michael Mo: Thank you, Stuart. Thank you, everyone, for joining today. This is Michael Mo. In Q2 2025, we achieved record revenue of approximately $4 million, which is up 63% from the same quarter in 2024. We also achieved our first quarterly profit of $0.22 per share, primarily attributed to our Bitcoin treasury strategy. Our balance sheet is approximately $140 million in cash and Bitcoin as of today. We're very well capitalized to grow all of our current business operations. With Q2 2025 product revenue up 74% year-over-year, we're in the midst of a transformation from a design and testing service company to a product-focused company that will see our growth trajectory accelerate in the second half of 2025. Launched in 2023, the KULR ONE platform was built to deliver best-in-class battery products, the vision now coming to life. With customer milestones achieved in KULR ONE Space and KULR ONE Guardian, we're leveraging this momentum to introduce two new platforms later this year. KULR ONE Air for unmanned autonomous vehicles and battery backup units for industrial, telecom and data center applications. We believe the KULR ONE platform will be a key growth engine for us, position KULR to double revenue in 2025 versus 2024 and sustain this growth trajectory into 2026. As I was preparing my opening remarks for this call, I saw about 30 questions coming in from our shareholders. Shawn and I will answer all these questions on the call. I would like to address three key areas of the questions to start our call. First, there were a lot of questions around the rationale for the reverse split and its effect. The primary strategic reason for the reverse split was to attract more institutional investors, strengthening our shareholder base with larger longer-term holders. A higher share price better aligns with institutional buying criteria as many funds have minimum share thresholds in their charters. Some shareholders asked whether the reverse split was done to regain NYSE listing compliance. We can state unequivocally that this was not the case. KULR was already in full compliance prior to the split. While short-term market reactions can be unpredictable, we remain confident that this move will broaden institutional ownership, enhance shareholder stability and increase longer-term shareholder value, not just a few months. Secondly, there were many questions around shareholder communications and the negative sentiment. We've heard your feedback, and we agree there's room to improve. Could we have communicated the reverse split more effectively? Absolutely. Could we have done a better job sharing updates on our operating business alongside the BTC plus treasury strategy? Yes, we'll make this greater focus going forward. In April 2025, a short report targeting KULR was published. Short sellers profit when the company stock decline and often publish or promote negative opinions to create downward pressure. The April report was filled with negative commentary and opinions. And since then, we've seen an increase in critical opinions and rumors spreading on social media about KULR. It is not our policy to let such report distract our management team or engage in what would become an endless back and forth of opinions. Our legal options are also limited by freedom of speech protection and our own need to maintain commercial confidentiality. However, here are two important facts. As of today, we're not aware of any class action litigation against the company or its officers. The reverse split was not initiated due to NYSE compliance concerns. We were fully compliant at the time. It was done to strengthen our shareholder base and drive long-term shareholder value. The third group of questions is around strategy of our core operating business and how this relates to our Bitcoin treasury strategy. KULR is a Bitcoin plus treasury company, leveraging a Bitcoin backed balance sheet to build and scale a portfolio of frontier technologies from high-performance energy systems to AI robotics. Our Bitcoin treasury strategy has enabled us to build a $140 million balance sheet, providing the capital and the stability to accelerate our growing businesses, a remarkable transformation from where we were just 1 year ago. Speaking of the past, I'd like to take us back a few years. KULR's root trace back over 40 years to Dr. Tim Knowles' pioneering work in carbon fiber thermal management for space and DoD missions. When Tim and I cofounded KULR more than a decade ago, our goal was to commercialize space-proven materials for mass market applications from smartphones to advanced battery systems. Over the past 5 years, we evolved from a component supplier to a design and testing service provider, bringing us closer to the end customer and enabling complete product solutions. Our technology has been deployed in the -- on the Mars rover, International Space Station, nuclear fusion reactors, wearables, battery systems and even helicopters. Our ability to move quickly and adapt across a versatile technology portfolio has strengthened our customer relationships and allow us to identify the next breakthrough applications. In 2023, we launched KULR ONE, uniting design, testing and battery product developments in all into one platform. In 2025, we have advanced our technology and operational infrastructure to rapidly launch products like KULR ONE Air and next- generation batteries, both through internal innovation and our manufacturing capabilities. We continue to explore new markets and applications where we can truly scale. This exploration has led us to the exoskeleton business where we are very excited about its growth prospects. We believe we're now at the inflection point. Our KULR ONE battery products bring us closer to the end customer and give us the scalability in the hyper growth potential that we've been looking for. With our strong balance sheet, proven technology, operational infrastructure and a network of world-class partners, we're well positioned for the next stage of accelerated growth. KULR ONE sits at the heart of our growth plan, delivering advanced mission-ready energy storage system for the most demanding applications. In Q2, our KULR ONE Space K1S 400 successfully passed NASA's acceptance process for the 20793 certification in support of the Artemis program. We believe this marked the first true commercial off-the-shelf battery to achieve a 20793 rating. Final certification is pending NASA's approval process for the Artemis mission in 2026. This platform architecture paired with a WI37A screened cells is now ready for human-rated space mission. Alongside the K1S 400, are K1S 100, 200 and 300 series are also prepared for immediate customer deployment. The K1S 500 XLT offers a compact ultra-lightweight design that delivers cutting-edge performance at commercialliable cost, aligned with the economics of the private space sector. This model combines high-grade WI37A screened cells, optimized packing factors and the low-mass structural materials, along with KULR's second-generation space-rated BMS. Together, these elements create a complete end-to-end energy storage solution for our customers. KULR has also successfully demonstrated a ballistic proof battery capable of withstanding API round impact, a major milestone for both KULR and our customers. One of the greatest challenges in deploying lithium-ion battery for defense application is meeting the demanding combination of thermal runaway abuse, vibration and ballistic testing, with ballistic testing being the most difficult to pass. Traditional battery chemistries pass the ballistic test by producing only smoke after API round penetration. Lithium-ion battery cells, however, typically produce flames and combustion, preventing them from widespread adoption in many military applications. Our KULR ONE Guardian solves this problem with a proprietary ballistic proof design that shields the cells from damage even after the API round impact. This results in a passing test, paving the way for further certifications, scale production and operational deployment. KULR has also delivered its first extreme pressure tolerant subsea battery pack to a key strategic partner, reinforcing our leadership in energy solutions for extreme environments with several kilowatt hours of capacity. This pack is engineered to withstand 6,000 to 8,000 psi for deepwater missions and is PPR rated as surface pressure and designed for safe shipboard handling. The subsea battery system market is valued at approximately $1.2 billion in 2024 with a projection to reach $3.5 billion by 2035. Successfully delivering these advanced products demonstrate KULR's capability to engineer custom energy storage solutions for the most demanding conditions, whether it's in space, underwater or in the air. We're now channeling this best-in-class engineering expertise into our commercial KULR ONE products to accelerate growth. As we have announced previously, KULR is working to drive adoption of solutions that embody the concept of physical AI, beginning with our award-winning best-in-class AI-powered exoskeleton, Exia. Almost half of all muscle and joint injuries at work involve the back, and Exia is built to help prevent those injuries while reducing fatigue with powerful and high-quality robotic motors. The seventh generation Exia developed with our partner, German Bionic, is now being introduced to customers across North America. Since its launch in June, feedback has been very positive. We believe this technology can greatly help people doing hard physical work. Even though most jobs are becoming automated, millions of workers still do tasks by hand. Exia helps them work more efficiently, avoid injuries and feel less tired by the end of the day. We're marketing Exia to industries like retail distribution centers, supply chain and logistics, food service distribution and many others where injury rates, employee turnover and heavy labor are big challenges. As the U.S. brings more manufacturing back home and strengthens supply chain, supporting American workers with advanced technology like this has never been more important. We expect Exia business to grow quickly and starting to contribute to our revenue in Q3 of 2025. In the coming months, we look forward to share success stories from our first customers as our teams start enjoying the benefit of this technology. Since December 2024, KULR has reinvented itself as a Bitcoin treasury company. We utilize equity financing, strategically acquire Bitcoin through open market purchases and mining and measure performance using BTC yield metric to create value. This approach seeks to build a long-term model grounded in BTC exposure and growth, including potential expansions into lending services and Bitcoin-based derivatives using existing holdings. As governments continue printing more money, leading to a gradual weakening of traditional fiat currencies, cash is likely to diminish in value over time. Bitcoin, however, offers a hedge against this erosion with its fixed supply and independence from government control. We currently hold approximately 1,035 Bitcoins. We'll continue to accumulate Bitcoin through our dual acquisition strategy in a responsible and pragmatic manner. With no debt and a non-erosive asset like BTC on our growing balance sheet, we continue to build more confidence in our customers and partners to scale up their business with us. Next, Shawn Canter will go over financial and operational highlights. Shawn?
Shawn Canter: Thanks, Mike. Overall, we had a very strong second quarter that helps set the stage for us to accelerate our growth going forward. Here are some of the key highlights. Revenue grew an impressive 63% from the same quarter last year to approximately $4 million. KULR's quarterly revenue growth records continue to grow. This is the highest quarterly revenue KULR has ever generated. Trailing 12 months revenue ended Q2 2025 also grew to a record high. Notably, KULR's growth included its streak of trailing 12-month revenue increases for a fourth straight quarter. We are pleased to highlight that the second quarter was the first time KULR had positive net earnings, posting a positive earnings per share of $0.22. For the second quarter 2025 versus the second quarter 2024, product revenue grew 74%, service revenue was down 57%. Overall revenue per customer was down approximately 6%. Product revenue per customer grew 4.6% and service revenue per customer was down 50%. As we sometimes see in our battery design and testing services, the timing of projects can vary from expectations due to their complex nature. Our battery design and testing services are an important component to our overall customer offering. Gross margin for the second quarter of 18% was down primarily due to unanticipated labor hours needed to complete technical projects and the price of Bitcoin affecting our Bitcoin mining margin. Since the end of the second quarter, the price of Bitcoin has gone up, which would have grown the second quarter gross margin. For the same period year-over-year, operating expenses were up due to, among other things, planned investments in growth-related activities we anticipate will accelerate our growth going forward. A few points on our balance sheet. At the end of the second quarter, our cash balance was just over $20 million. Our current accounts receivable was about $4.2 million, and we held just over 928 Bitcoins worth approximately $100 million. Our total assets were $141 million. Additionally, we had no material debt. As an update, as of August 11, KULR held 1,035 Bitcoins worth about $120 million. So again, a very strong second quarter financial performance. Back to you, Stuart.
Stuart Smith: All right. Thank you for that, Sean. Michael, the first question is for you, and it's got a few questions mixed into this one question or one submission. So here we go. With great success at Camp Pendleton at the United States Marine Corps base, multiple civilian helicopter rotor balance operations and the ongoing U.S. Army trial, is there any DoD traction with respect to VIBE and DoD helicopters? Do we have any upfront data on savings from the current trial? Specifically, how many aircraft have been balanced, average runs to solve the equation and how many flights to balance have been saved using VIBE? The product -- is the product solid in the H-60 world? And lastly, any traction with the Bell 407? Michael, that one is for you.
Michael Mo: Yes. That's a great question. Certainly, it feels like this investor is very interested and also knowledgeable about the helicopter world. Although we cannot discuss all the details about our work with our DoD customers, KULR VIBE can balance the H-60, the Bell 407 and the Black Hawk, [indiscernible] basically any helicopter that we have a long history of balancing these. On average, it takes between 2 to 3 runs to get the vibration closer to 0. That's well below the threshold and then it's virtually no vibration to be felt by these helicopters. So a lot of great work has been done, and we work with the customer on a lot of details about the -- like this customer -- like this investor said, the cost savings analysis and so forth. So thank you for the question.
Stuart Smith: All right. Very good. Shawn, the next question is for you. Quarter-over-quarter, SG&A costs have been climbing, while sales growth has not kept pace. What's driving this imbalance?
Shawn Canter: Thanks, Stuart. As mentioned in our prepared remarks, we achieved a record revenue sales quarter and logged another record trailing 12 months revenue record, our fourth in a row. Our SG&A costs reflect, among other things, a planned increase in investments to drive growth going forward. And we're looking forward to when we can to sharing more about our revenue growth wins with all our investors.
Stuart Smith: All right. Thank you for that, Michael, and thank you, shareholders, for all of your submissions. We've got a lot of questions today. I should have said that at the outset. Michael, the next one is for you. Why should shareholders continue to hold KULR shares? You continue to dilute shareholders to purchase Bitcoin and fund unprofitable operations in the thermal and battery space. The ATM is the only thing that keeps the company going. What's going to change? Any meaningful increase in share price will be met with more share dilution by management selling shares?
Michael Mo: Well, the ATM has been a very strategic tool for KULR to build our BTC treasury strategy and our balance sheet. Now with approximately $40 million in cash and Bitcoin, we're at a great position to continue to invest in our battery and AI robotics business for the tremendous growth that we anticipate. When you look at the U.S. battery and battery-related companies, there are very few profitable examples. Now as we transition from a design and service battery company to a product-focused company based on our KULR ONE platform, we can be one of the exceptions in the U.S. market, both through organic growth and also by taking advantage of some of the industry consolidation that's happening.
Stuart Smith: Thank you for that, Michael. For these investor calls, why must investors submit their questions ahead of time? We don't have visibility on the quarter's results before submitting our questions. Why can't you answer questions in real time like most publicly traded NYSE companies or at the very least, hold the earnings call the day after, so investors see the results and get to submit questions?
Michael Mo: That's a great question. We'll look into some of the best practices of similar companies and see what we can do. What we learned from this call is that there is value in getting some of the questions ahead of time and provide more comprehensive answers in the prepared remarks.
Stuart Smith: Very good. Yes. I mean, shareholders, you understand you submit your questions all throughout the quarter as well, and we like to get these in here in front of management and be able to give you the opportunity to hear it straight from the CEO and the CFO. So Michael, next question is for you. Typically, reverse splits are done to maintain compliance with listing requirements, and there are reports suggesting -- that was the case here. However, KULR has presented it as a voluntary move to attract more institutional shareholders. Can you provide any validation or context to support that position?
Michael Mo: Yes. As I have stated in my prepared remarks, the decision was unequivocally done on a voluntary basis. We were in -- well within compliance with NYSE listing rules. And also, as I've talked about in my prepared remarks, the main strategic motivation behind the reverse split was to attract more institutional investors. We believe these are larger and longer-term shareholders, and that will provide a broader base of shareholder base and build longer-term shareholder value for us.
Stuart Smith: All right. Thank you for that, Michael. Next question or statement in this case. I've come across a message online suggesting that KULR is facing a class action lawsuit involving insider trading and investigation related to revenue inflation. If this is true, could you share what you can? And if it's false, would you be able to clarify that as well? Thank you for your time.
Michael Mo: Yes. We do not comment on rumors. However, I can say that we are not aware of any class action litigation against the company or its officers at this time.
Stuart Smith: All right. Very good. Next question is also for you, Michael. I'd really like to know why you're so quiet on social media. Some days, it's nonstop posts and comments then weeks of nothing. It would be so much better if we had consistent communication from the company. The only news we get are press releases and videos that repeat the same content. We want to hear from you.
Michael Mo: Well, I certainly appreciate that. And in my prepared remarks, I addressed about communication and about the negative sentiments. Yes, we can do better -- I can do better. And I'm trying to balance between -- my time between execution and communication. So I will certainly do a better job communicating more consistently throughout the quarter with our investors.
Stuart Smith: Very good. All right. So Michael, next question for you again. It's been like this for a while. In 2023, KULR's CTO, Dr. William Walker, stated, our new Webster R&D center will usher in the next phase of KULR's expansion and growth. So far, quarter-over- quarter, we have not seen any meaningful growth. Where is this growth supposed to come from? You keep promising growth, but it never materializes. Also stop using year-over-year numbers. It's idiotic. We don't hear anything from the Webster office. In fact, the only time the company gains momentum is when Bitcoin is being discussed.
Michael Mo: Well, good question. It sounds like this investor really follow us throughout the years. First of all, I love Will, who is an internal optimist, just like me, he and Peter Hughes, our VP of Engineering, have provided great leadership for our team in Webster. And we're also in the midst of moving all of our operations -- or consolidating our operations from a San Diego office to Webster by the end of October. So a lot of work going on there. As an update to the Webster facility, I think I'd provided our growth and our updates almost every quarter, but usually the highlights like last quarter, I talked about expansion to the 31,000 square foot place and all the wonderful -- infrastructure expansion that we have been doing in Webster and we continue to do. I would say that we have been gone through some growing pain of the growth and also transition to a product-oriented company from design and testing services. I'm very confident that our current lineup of the KULR ONE Space, KULR ONE Guardian and the new product lines coming up, KULR ONE Air and the industrial energy storage products is going to provide the growth that we have been looking for.
Stuart Smith: Okay. Here's the next question. And it's referenced to November 2023, Michael Mo stated, "We expect KULR ONE to have the revenue opportunity of over $200 million by 2026." It's 2.5 years since that statement. What's the status of KULR ONE's revenue opportunity? And why is it that you have not made any meaningful headway with that product yet? It would be one thing if you were communicating these things to us, but we're getting nothing. Hope you take the time to address my question.
Michael Mo: Yes. Back in 2023, we established a strategic partnership with a battery cell provider to procure the cells to be made in North America to target a wide range of applications. However, subsequently, the cell provider changed their manufacturing strategy and also the market opportunity has changed significantly due to battery price volatility over the last couple of years. However, I think that we're entering a new -- a different market situation now that the KULR ONE platform has been around for more than 2 years now since then. And we have developed and tested and delivered the suite of KULR ONE S, KULR ONE Guardian products. And I'm much more confident now about the future growth than back in 2023.
Stuart Smith: Okay. Here's the next question. Why are most or all press releases about Bitcoin and not about the operating company?
Michael Mo: Yes. I would say that a lot of our business activities now are just about hunkering down and executing our products and customers, managing our transition to a product company and lots of internal operations on the growth and the facility consolidation. So I do hear you loud and clear. We will step up our communication and share more exciting news about our -- the product launches, the KULR ONE and the AI robotics growth updates.
Stuart Smith: All right. Thank you for that, Michael. So last quarter's report detailed a $3.3 million investment for preferred shares in privately held German Bionic. Their Apogee robotic exoskeleton has been on the market for years at a price point exceeding EUR 10,000 per unit. As the exclusive U.S. distributor, what were the Q2 sales figures for North America?
Michael Mo: Yes. We don't break out sales figures on this at this time yet. However, we are very excited about the new suit called Exia, which is the seventh generation suit. It's a great product. I think it's 10% lighter than the previous suit and more powerful. The initial customer feedback has been overwhelmingly positive. People feel that -- well, we were told that this is the most powerful and connected intelligent exoskeleton suit they've ever put on. And I would also add that we start our relationship with German Bionic as an investor and the U.S. exclusive distributor and technology partner as a way to test the product in the North American markets, and we expect that relationship to expand from here.
Stuart Smith: Another German Bionic question next, given that German Bionic is up against established domestic and international competitors offering similar products at a lower price. What is KULR's clear and defensible advantage in bringing these suits to the U.S. market?
Michael Mo: Yes. What we have heard from some of the largest customers through our early engagements on the Exia suit again is it is the most powerful exoskeleton they've ever tested in the market and the most advanced in the telemetric data and analysis. And there are some real killer applications that Exia is addressing with the customers, which I would not go into due to confidentiality and competitive advantage reasons, but we are super excited about the growth opportunity.
Stuart Smith: All right. The company has publicly stated a $20 million annual revenue target for 2025. Recent Bitcoin purchases and mining announcements show a considerable allocation of capital and focus toward cryptocurrency-related revenue. Beyond these initiatives, how is the broader business performing?
Michael Mo: Well, we expect to meet our 2025 revenue target, as we have stated before. Furthermore, we are excited about the prospects of the KULR ONE product platform as well as the Exia growth, and we expect that the growth rate to maintain, if not accelerate into 2026.
Stuart Smith: All right. I'm going to go on a limb and think that this next question is for you, Shawn. Last quarter, Shawn Canter highlighted the company's balance sheet strength, but that was primarily due to aggressive use of the ATM. In June, you entered into a new $300 million ATM agreement with Cantor Fitzgerald and Craig-Hallum. Beyond balance sheet strength, what other financial metrics can a CFO point to that demonstrate the company is on a growth trajectory going forward?
Shawn Canter: Thanks, Stuart. As you can see from our numbers, KULR's revenue grew to another record revenue quarter. We set a trailing 12 months revenue record again this quarter, which is our fourth in a row. And I would say keep your eyes on revenue growth. That's what we're focused on, and we'd encourage everybody to follow us with that focus.
Stuart Smith: All right. Thank you for that, Shawn. Michael, in May 2024, the company announced the expansion of its testing services division, K1-DS, projecting it to become an $8 million to $10 million annual revenue stand-alone business beginning in 2025 without requiring additional investment in testing capabilities. Is that still on track?
Michael Mo: We have completed our investment in the K1-DS testing service, or the infrastructure investment has been made. We are now focused on strategic key customers for testing and -- of our testing services and then also transition some of the testing resources to manufacturing activities for our KULR ONE battery products as we start ramping up the production for these products. So where you see -- this is where you see the next growth opportunity for us.
Stuart Smith: Okay. Next question. Both Benchmark and Zacks paid research have discontinued coverage of KULR. Aside from Litchfield Hills research, are there any analysts currently covering KULR? You have an ATM with Craig-Hallum and Cantor Fitzgerald. Are there analysts covering KULR stock? And if not, why?
Shawn Canter: Thanks, Stuart. The research teams and investment banks make their own decisions as to who to cover and when to initiate that coverage. It's really not up to us.
Stuart Smith: Okay. Michael, this is another one regarding that reverse split. So what was the rationale for executing a reverse stock split when KULR was NASDAQ compliant, I believe they mean NYSE compliant. And did you anticipate the significant drop in price following the reverse stock split from which KULR hasn't recovered? If so, do you regret the decision in hindsight?
Michael Mo: First of all, I don't regret the decision. The main strategic motivation behind the reverse split, as we've said before, was to attract more institutional investors. We believe a growing institutional investor base ultimately benefits all shareholders, including retail shareholders and provide long-term shareholder value, not just in a couple of months.
Stuart Smith: All right. Next question. The Q1 earnings call opened with Michael Mo's declaration that KULR is a Bitcoin first company or something to that effect. While I understand that KULR is spending 90% of its surplus cash reserves on purchasing Bitcoin, I was confused as to why Bitcoin and not KULR's core business operations was the top story on the call. Is KULR transitioning from energy storage solutions to crypto mining? Or was this just a messaging snafu?
Michael Mo: Well, KULR is a Bitcoin plus treasury company that not only treats Bitcoin as a pillar of strategy, identity and financial foundation. On top of that foundation, we built a portfolio of frontier technology businesses ranging from high-performance energy systems to AI robotics. And so these are very synergistic relationships and opportunities between our Bitcoin strategy and our operating business. So I think this is the future growth of the company, and we'll continue on to that trajectory.
Stuart Smith: Okay. In Q1, your loss from operations was $9.44 million, which if that trend continues, would mean $40 million in operational losses for 2025. How does Q2 look operationally? What are you doing to slow down your cash burn? And please don't say you need to spend money to make money because you have had years of shareholders' money to prove your case.
Shawn Canter: Thanks, Stuart. Having gotten our balance sheet on strong footing, we are now focused on our operational growth. We think our KULR ONE product line, our new growth effort in exoskeletons and our vibration reduction technology are showing strong prospects, and we'll continue to invest in growing our top line across these areas. When we can, we look forward to sharing future operational wins with everybody.
Stuart Smith: All right. Thank you, Shawn. Michael, in early April, Grizzly Research put out a report entitled KULR Exposing the Hype, Overpromises, Insider-Mistrust and Operational Chaos in an Everything-Tech Mirage. KULR management made no attempt to refute any of these claims in their Q1 earnings call in May or since then. Why not? If the claims in the report are not true, why not publicly state that? Since that report came out in April, the stock is down substantially. Do you not care that your shareholders have lost a lot of money? Are Grizzly's claims valid?
Michael Mo: Thank you, Stuart. I have addressed this in my prepared remarks. Sure sellers publish or arrange for publication of negative opinions and comments and create a negative market sentiment, therefore, they generate profit. The April report was full of negative commentary and opinions. And since then, we see a growing negative opinions and rumors published and spread on the social media about KULR. So -- but it's not our practice to allow these opinion reports to distract management or engage what would result in endless battle of opinions. So furthermore, our ability to take legal action and other actions against short sellers are often limited by the principal freedom of speech, and we also need to maintain our commercial confidentiality.
Stuart Smith: Okay. You recently added 2 Board members. How do they each add value, particularly considering one of them has already been serving as CFO since March 2023?
Michael Mo: Yes. The Board feels that both new members are a strong addition to the boardroom. Aron brings a long history of sophisticated private equity mindset and also hands-on operational experience to the Board. Shawn has contributed significantly to the KULR over the last 2 years. And by adding Shawn to the Board, we get a benefit of a judgment experience at the Board level in addition to being a key member of the management team.
Stuart Smith: All right. Thank you for that one. So next one is about Bitcoin again or at least cryptocurrencies. Apart from Bitcoin, would KULR consider holding other cryptocurrencies in its treasury such as Ethereum or Solana?
Shawn Canter: Thanks, Stuart. Our treasury strategy solely utilizes Bitcoin.
Stuart Smith: All right. Next question. I'm a little confused about the Bitcoin strategy. Have we decided to give up on new products and uses for Dr. Knoll's graphite material he had been working with for decades in place of hoping Bitcoin will somehow propel growth?
Michael Mo: Bitcoin is our treasury strategy, and it doesn't replace what we do with our technology to serve our customers. For the carbon fiber material, we'll continue to make them and also sell carbon fiber thermal management materials and products to our customers.
Stuart Smith: Could you please share your current energized hash rate, blended power costs and estimated cash cost per BTC at today's network difficulty. Also, what is your target rate to reach 1 exahash?
Michael Mo: Our current hash rate is approximately 900 petahash. We maintain a blended power cost below $0.04 per kilowatt hour by sourcing only projects that align with our risk profile. However, this metric is not directly comparable as we lease -- as our leasing model caps product costs for the full lease term. So our cash cost per Bitcoin is approximately $102,000 per Bitcoin, and we target to get to 1 exahash by this fall.
Stuart Smith: All right. Thank you. So next question, battery and space stocks have been on a tear lately, while KULR share price has gone down. What are you guys doing wrong? You talk about NASA, Artemis missions, et cetera. But what the heck are you guys doing to improve sales? What's going on with the Texas Space Commission order? Have you got the money yet?
Michael Mo: The Texas Space Commission grant program is progressing very well with our partners, NASA and SouthGate Technologies, and we're in the process of selecting a satellite manufacturing partner for the project. And the Texas Space Commission folks have been great to work with to fund their vision of making Texas the epicenter for the new space economy in the United States. As for the other battery companies, it's great to see our friends at Amprius doing well, particularly a couple of things from the last quarter. I think over 90% of the last quarter's revenue was from electric aviation, and they achieved the first quarter of gross profit -- positive gross profit. So we're very excited about this new KULR ONE Air product to launch, and we look forward to expand our margin as well.
Stuart Smith: All right. Thank you for that, Michael. Shawn, the next question is for you. Are we going to have another summer investor presentation at the end of August? I personally feel this is the best due diligence on your company you have ever released. Another detailed one this year would be great and allow us to see the company on all sides, not just Bitcoin.
Shawn Canter: Thanks, Stuart. It's a good idea, and we will provide a new investor presentation in the fall.
Stuart Smith: All right. Thank you for that, Shawn. Michael, would you ever allow investors who do photography to come see your facility? I've been dying to work with you all.
Michael Mo: Well, thank you for the question. Given the confidential nature and proprietary nature of the work we do, we have to be very careful about photography and videos. So be happy to hear about what you'd like to do. And please e-mail us at ir@kulr.ai, and we will see what we can do.
Stuart Smith: Absolutely. send in those e-mails. All right, Michael, the final question is for you. As KULR Technology Group approaches its upcoming earnings call, I'm eager to get some insights on the strategic impact of your carbon fiber heat exchangers and internal short circuit trigger cells on advancing safety and performance in critical industries. Could you please elaborate during the call on the key applications of these technologies? Particularly in high-stake sectors such as aerospace, electric mobility and next-generation energy storage, highlighting how they address complex thermal management and battery safety challenges. Furthermore, could you provide insights into your existing or prospective customers, strategic partnerships or targeted industries adopting these solutions and articulate how KULR's cutting-edge innovations position the company as a market leader in these rapidly evolving domains. Thank you for considering this question and for the earnings discussion. Your leadership in driving transformative thermal safety -- thermal and safety solutions at KULR is truly inspiring. I look forward to your response. Michael?
Michael Mo: Well, thank you, Stuart. This investor really knows and cares a lot about the history of KULR. So thank you for that. I think I've answered quite a bit of that part of the question in my prepared remarks. I would just reiterate that KULR has come a long way from a space-proven material components company to a design and service company now on its way to be a product-focused company that builds and applies a portfolio of frontier technologies, ranging from high-performance energy systems to AI robotics. And our engineering heritage and expertise combined our speed and ability to adapt is what sets us apart from the competition and us to serve our customers. Now with a rock-solid growing balance sheet, we will accelerate our growth trajectory with new product launches and customer engagements.
Stuart Smith: Thank you, Michael, and thank you, Shawn. As mentioned, that was our final question. So that now concludes our call today. I will now hand the call back over to our operator. Thomas?
Operator: Thank you. This does conclude today's conference call. You may disconnect your lines at this time, and have a wonderful day. Thank you once again for your participation.